Operator: Good afternoon, welcome to the Novatel Wireless Third Quarter 2013 Earnings Conference Call. All participants will be in listen-only mode. (Operator Instructions). After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions). Please note this event is being recorded. I would now like to turn the conference over to Matthew Hunt, with Blueshirt Group of Investor Relations. Please go ahead.
Matthew Hunt: Thank you and good afternoon. Thank you for joining us on our third quarter 2013 earnings conference call. We will begin with a brief business overview and outlook from Chairman and CEO, Peter Leparulo, followed by a financial overview and guidance from Chief Financial Officer, Ken Leddon. We will then open the call for questions. As a reminder this conference call is being broadcast on Wednesday, November 6, 2013, over the phone and Internet to all interested parties. The information shared on this call is effective as of today’s date and will not be updated. During this call non-GAAP financial measures will be discussed. A reconciliation to the most directly comparable GAAP financial measures is included in the earnings release which is available on the Investors section of our website. An audio replay of this call will also be archived there. Please also be advised that today’s discussion will contain forward-looking statements. These forward-looking statements are not historical facts, but rather are based on company’s current expectations and beliefs. For a discussion of factors that could cause actual results to differ materially from expectations please refer to the Risk Factors described in our forms 10-K, 10-Q and other SEC filings which are available on our website. Now I would like to introduce Peter Leparulo, Chairman and Chief Executive Officer of Novatel Wireless.
Peter V. Leparulo: Good afternoon and thank you for joining our call today. During the third quarter we grew revenue sequentially to $92.7 million and improved our bottom line, reporting an EBITDA positive quarter at $736,000. Non-GAAP gross margins in the quarter also exceeded our forecast coming in at 22.4%. I want to start this call by stating that this is not a business as usual quarter for wireless. I would like to spend the bulk of my prepared remarks explaining where we are in transforming our business and provide an update on our plan to achieve sustainable profitability and objectives that continues to be our top priority. I’d like to start by discussing the progress we are seeing in our M2M business. While revenue in M2M was down sequentially as we addressed an implementation issue with one of our customers we have largely worked through the issue progressed with other key customers in the quarter and improved M2M gross margins which were above our consolidated corporate average. As we discussed last quarter we made important progress in addressing a wide set of opportunities that were in various stages of the sales cycle. We have increasingly being shifting to direct enterprise customer engagements with our goal of achieving anchor development customers on our new products in each of our targeted verticals; commercial telematics, consumer telematics, telemetry and security. I’d like to give a detailed illustration of what we have now achieved in that regard. In our commercial telematics vertical which includes fleet management and asset tracking I am pleased to report that in addition of Fleetmatics we have now been selected by Teleges for one of our newly developed telematic solutions for their fleet management and telematics offerings. Teleges provides a software-as-a-service based platform for dynamic routing, real time work order management, commercial navigation and telematics for mobile workforces. ABI Research named Teleges one of the top companies in the commercial vehicle telematics market. We have been actively integrating Teleges' decore embedded software agent into our telematics device. Also in the quarter we were selected by another top mobile resource management company for its automotive asset tracking platform. We are starting to ramp shipments of our MT series to this customer and are targeting migrating them to the MT 3060 which we just commercialized. Earlier in the quarter we announced our long term supply and license agreement with RAC Motoring Services. RAC is similar to AAA in the United States and offers insurance and other related services to its membership base of more than 7 million subscribers. RAC’s members consist of commercial fleet customers, insurance clients and private automobile owners. Under our agreement our MT 3060 telematics device will support the RAC advanced service which facilitates vehicle tracking, real time crash detection, service alerts to help avoid breakdowns, road side assistance and other services for RACs members. More recently we announced a supply agreement with Digicore another leading provider of advanced M2M telematic solutions. Digicore is also included in ABI Research as vendor metrics of top commercial telematics service providers. Under the agreement we’ll supply Digicore with various versions of our cellular OBD-II devices to be integrated into Digicore C track telematics solutions and services. We are currently working on the integration of Digicore’s embedded application into our device. We also recently closed a new consumer telematics opportunity in which our MT3060 was selected as part of another turnkey telematics solutions which bundles consumers and connected car applications, including vehicle tracking and monitoring and driver distraction services. We expect this solution will be distributed through national automotive retailers. Lastly we have been notified that we’ve been chosen as a supplier for our OBD devices by one of the largest global telecommunications equipment providers that is acting as a systems integrator for a turnkey driver behavior and insurance telematics platform. Some of the major new M2M opportunities I’ve just discussed include licenses for our cloud-based software applications. As all of these evidence we have a number of sizable new opportunities in various stages within M2M. The ramp profile of each of these programs varies and the timing and overall success can be dependent on our integration efforts and our customers downstream and user demand. However we are jointly working with our customers with a target for these programs to begin to ramp at the end of the quarter and throughout the first half of 2014. As part of the commercialization process we’re actively porting fleet management, consumer telematics, driver behavior, insurance telematics and other embedded applications of our customers to our devices. These integrations can be a lengthy process but we believe they are putting us in a indefensible position at these customers with potential to sale our revenue opportunities within them. As we have closed many of the pipeline opportunities we discussed over the last couple of quarters we simultaneously continue to expand our pipeline with additional sales engagements and prospects we are working on of a similar caliber beyond what we have already discussed. We believe we have set a solid foundation for future M2M growth. Although the sales cycle has been long we continue to win this pedigree of customers for several core reasons. We believe the new M2M asset management product portfolio we discussed on previous calls including the SA 2100 and MT 3060 family of products is well positioned in functionality and price. For example the new products we have launched in M2M are more extensible for a software development environment to facilitate integration with enterprise customer solutions. As a result, not only do we now have flexibility to address enterprise customers directly but also can generate higher quality revenue since these customers are stickier once our products are integrated into their service platforms. And because we control all the major touch points in the development chain from module and firmware development to customer integration we can support our customers directly. Lastly, we are benefiting from an increasingly direct sales engagement which provides us visibility in to optimizing our M2M products to the service platforms of our customers to best address our targeted verticals. To summarize in M2M we closed on key enterprise customer a number of sizeable opportunities in our pipeline and have a robust product portfolio in place to go to market with our prospects, as well as further penetrate current customers. The demand is there and we intend on executing to it. Based on ABI Research data most of our various targeted verticals are projected to grow at a CAGR of 20% or greater over the next several years. Although there are external dependencies as customer launch their service programs with their downstream end users this is a way which we’re optimistic to exceed in 2014 for our overall M2M business. As we move forward in M2M our execution is focused on the following. First, integration of our products into our partner applications service platforms for their successful program launches to drive sales engagement and volumes. Second, we are focused on continuing traction with new customer acquisition and growing our opportunity pipeline with market leading companies in our targeted verticals. And lastly, we are focused on introducing disruptive products into our target verticals to continue addressing the needs of our existing and prospective customers. Turning now to mobile computing. We had improved performance in the quarter growing sequentially by 4% and year-over-year by 29% to a total of $84.1 million. In our MiFi mobile hotspot business we experienced strong demand for our MiFi products at Verizon in the third quarter. During the quarter we also launched MiFi 500 with Sprint. We believe 4G LTE enables new use cases and product categories in mobile computing. During the quarter we launched a new product category within our mobile computing business with the availability of our MiFi home, our 4G LTE converged voice and data MiFi power device. We have initially launched this product with Verizon which we believe is a very unique offering in their product set driving new use cases for home voice and data access. We launched this at the very end of the quarter and believe this is still in the midst of some market and pricing testing. Beyond the more immediate contributions we are confident this device also has an important long term foothold for us with the potential to serve as a key platform for home automation. While mobile computing contributed solid top line results in the quarter and gave our first EBITDA positive quarter in some time we have been faced with the challenge of balancing heavy R&D cost against the product development output necessary to keep up with the replacement cycles to remain competitive at the carriers. The difficulty of maintaining those product cycles are reflected in our outlook for Q4, where we expect to see the impact of an increasing level of competition at a customer in the mobile hot spot category coupled with newer products which take time to scale. With that in mind I reiterate that this is not a business as usual quarter. With a view to returning to company to sustained profitability as we look into the fourth quarter 2014 and beyond I would like to finish with some of the major changes that we expect to make. We continue to see substantial opportunities in mobile computing, including LTE converts to home gateways, home automation and connected car initiatives. And we have the industry leading technology, expertise and relationships to service these markets. However, the mobile computing business has been characterized by high R&D cost to support their divergent network requirements of the major North American carriers. In response to this, we are planning to address this business segment with a much leaner, more efficient R&D cost structure going forward including a higher component of variable development resources. We believe this is possible because of the following: We anticipate that going forward network upgrade cycles among our leading operator customers will be more staggered than they have been. This market dynamic will allow us in turn to stagger the various stages of our product development cycles and complement portions of our internal engineering resources with outside services. In other words we believe we will be able to provide similar output levels with a reduced cost structure. Similarly, we have already begun to take advantage of development synergies that we are seeing across our entire product portfolio. During the quarter we announced the restructuring of a substantial portion of our operations, taking meaningful cost out of the model, where we saw synergies across our global computing and M2M business units. Lastly, a larger component of our R&D investments will be on platform products such as MiFi home, which is extensible to home connectivity and to home automation. Additionally in M2M, the SA 2100 is extensible to multiple applications in markets such as telematics 0and connected car initiatives. We are confident that these changes will optimize our cost structure to achieve a lower sustainable breakeven model. As you can see from our guidance which Ken will discuss shortly while revenue is down, our EPS range at the high end is at breakeven. And with that I will now turn the call over to Ken to discuss our financial results.
Kenneth Leddon: Thank you, Peter. I will begin with a financial overview of the third quarter and then we will provide our outlook for the fourth quarter of 2013. Revenue from the third quarter was up sequentially at $92.7 million and within the guidance range we provided for the quarter. To break that revenue performance down by business segment our mobile computing revenue in the quarter was $84.1 million, up from $80.8 million in the prior quarter. This concludes $75 million of MiFi revenues, $5 million of USB modems, combination cards and related products and $4.1 million from our PC OEM business. Our M2M products and solutions totaled $8.6 million, down from the prior quarter though up over 47% year-over-year. From a geographic perspective, sales in North America account for approximately 97% of total revenue. Our net operating loss for the quarter was $4.9 million and our net loss was $5.1 million or $0.15 per share, improved from a net loss of $7.9 million or $0.23 per share in the prior quarter. GAAP operating loss in the quarter includes $2.4 million in severance and restructuring charges related to the restructuring initiatives that we announced in September. From here on I will discuss our result on a non-GAAP basis. Please see our earnings release for a reconciliation of our GAAP to non-GAAP third quarter results. The non-GAAP adjustments for the quarter totaled $3.8 million and included adjustments for restructuring charges, share-based compensation expense, amortization of acquired intangible assets and certain income tax assets and liability adjustments. Non-GAAP gross margin in the third quarter was 22.1%, up from 21.1% last quarter. Non-GAAP operating expenses totaled $21.7 million down from $25.8 million in the prior quarter. This reduction was driven by continuing synergistic savings and significantly reduced legal expenses compared to the prior quarter. Looking at operating expenses by category, R&D expenses were $12.1 million compared to the prior quarter of $12.7 million. Sales and marketing expenses were $4.9 million compared to $5.7 million in the prior quarter. Our G&A expenses were $4.7 million down from $7.4 million in the second quarter. In addition to headcount reduction the sequential decrease this quarter was driven by lower legal expenses related to litigation and settlements which were exceptionally high in the second quarter. Our non-GAAP operating loss in the quarter was $1.3 million and net loss was $1.2 million or $0.04 per share, improved from a net loss of $6.7 million or $0.20 loss per share in the prior quarter. EBITDA in the third quarter was approximately $736,000. Weighted average share for the quarter was $34.1 million. Now turning to the balance sheet, cash and marketable securities including restricted cash and restricted marketable securities totaled about $47.9 million. Receivables close higher at the end of the quarter at $47.5 million compared to $39.6 million last quarter which is the primary cause of the change in cash. Inventory levels decreased by $1.9 million or $27 million. Third quarter capital expenditures were $1.3 million. Now looking ahead to the fourth quarter 2013, as Peter discussed we are executing on operational initiatives that will meaningfully reduce our structural breakeven, which is reflected in our Q4 guidance. To that end in September we announced substantial restructuring initiatives. As a reminder we expect to begin realizing the initial cost savings from those initiatives in the fourth quarter which we estimate will generate annualized pretax savings of $10 million to $11 million. In Q4 we also expected the impact of an increasing level of competition at one of our customers in the mobile hot spot category, coupled with recently launched newer products which may take time to scale. Accordingly, we currently expect fourth quarter revenues to be in the range of $66 million to $78 million. We expect gross margins in the fourth quarter will be in the range of 21% to 23% of sales and we expect non-GAAP EPS to be in the range of a $0.14 loss per share to breakeven. These estimates are based on approximately 34 million shares outstanding. Now I will turn the call back to Peter for closing remarks.
Peter V. Leparulo : Thanks very Ken. To summarize, this is an important time as we transition over to wireless. We will be taking a more targeted approach in mobile computing and aligning our development process to key trends that we are seeing in the marketplace such as staggered upgrade cycles. We are significantly lowering our breakeven point with these cost structure initiatives. Further out, we still see a number of very exciting opportunities in front of us and we have the technology expertise and relationships to address them. In M2M, we have made key customer and design wins and are growing our pipeline, setting the stage for this business to represent a larger component or revenue going forward. We are optimistic that our M2M business can meet or exceed the CAGR of our addressable verticals, of 20% or greater. And as our integrated M2M solutions increased as a percentage of M2M revenue these higher margin opportunities should improve M2M margins and in turn overall corporate markets. All of these should build on our objective of becoming a transformed or profitable Novatel Wireless. We look forward to reporting on our progress. And with that we will now be happy to take your questions.
Operator: Thank you. (Operator Instructions) Our first question is from Michael Walkley of Canaccord Genuity. Please go ahead.
Unidentified Analyst: Great, thanks. Hi, this is [Sidon] for Mike Walkley. Peter my first question is obviously on the revenue guidance, a little softer than expected. Just wanted to dig deeper on the MiFi business. You've talked about competition at one of the competitors, obviously strong sales in Q2 and Q3 at all three carriers. So I mean what exactly is happening out there? Is it just one quarter effect or I mean how do you see this business in 2014 versus 2013?
Peter V. Leparulo : The way I look at this Sid and we have seen once before is we are seeing the impact of competition at one customer, exactly as you say in the mobile hotspot product category. And what this really is as the operator’s dual source which they have already done it causes market share at any individual carrier to effectively the ebb and flow as new products are introduced and promotions are put behind different products. So it ends up being somewhat unpredictable but I will tell you we have next generation design wins which we’re developing and we are introducing to the market in these same channels and our goal is to have that right size itself, just like when we ran into this in the past where we’ve had a product B introduced that is directly competing in that one significant customer channel.
Unidentified Analyst: Thanks, great. And then just moving onto the OpEx line, Peter or Ken, either of you, obviously great job on reducing the OpEx this quarter and then you talked about the full benefits of the restructuring hitting next quarter and correct me if I am wrong but roughly about $18 million to $19 million in OpEx for the next quarter. Is that the baseline run rate now that we should think about? What’s your estimate for the breakeven target on the top line?
Kenneth Leddon: Yeah I think, this is Ken speaking Sid. Yeah you are correct on that. That’s a forecasted level of OpEx next quarter, that $18 million to $19 million which is about $2.5 million to $3 million reduction from this quarter which is equivalent to the estimated annualized saving we expected from our initiatives. As far as the breakeven this stands significantly you can back into that by taking your $18 million, $19 million divided by the gross margin that we forecast for the quarter to get toward breakeven which is significantly lower than it was in prior quarters.
Unidentified Analyst: Great, got it. And just one last one from me and I will pass it along. Obviously strong design win momentum for your MT 3060 platform and you have talked about planning to exceed the 20% CAGR for 2014. Just want to get a cadence of this realm. Basically is it first half weighted for next year or how should we think about, I guess modeling this thing?
Peter V. Leparulo: Within the context of that there are some external factors in terms of our customer rollouts but I guess I would frame it like this. For the pipeline opportunities, the close opportunities that I described we are in the process right now of integrating the agents of those customer service platforms into our products and we expect to begin to roll out at the very end of this quarter and the first half of next year. This revenue for the most part is typically in M2M incremental revenue and essentially added to as we go forward. And the overall majority of these are new customers and new design wins. So I would frame it like that with the caveat that some of these are new programs and have the downstream demand from our customers, that also has to pull-through. But I would look to the timing of that as I said in my prepared remarks to be during the first half of next year when we should begin to ramp.
Unidentified Analyst: Great, that’s all from me. Thanks guys.
Peter V. Leparulo: Okay.
Operator: Your next question is from Bryan Prohm of Cowen & Company. Please go ahead.
Bryan Prohm – Cowen & Company: Hi, good afternoon guys. Peter, calendar 4Q clearly hasn’t been business as usual for a few years running now. I mean I think in 2011 it was the [POM] business that went soft. This is the second year in a row that MiFi is going to be weak down the stretch in the year. Help me walk through the causes here again. It sounds like this is again primarily MiFi share loss of one customer.
Peter V. Leparulo : That’s correct.
Bryan Prohm – Cowen & Company: But so wouldn't the earlier ramp of some of these new products made up some, any, all the difference in the revenue mix or what kind of customer diversification, revenue diversification initiatives are underway in MiFi to maybe alleviate this problems next year. I mean how many global carriers have MiFi today?
Peter V. Leparulo : Well we focus Bryan on North American operator. So we’re really focused on the major North American operators where the bulk of our revenue is. And as I mentioned what this really is it’s you are absolutely right this does hit you intermittently and it hits you when dual sourcing as I said where a competing products comes in and starts begin to occupy channel and dual sourcing is pretty much the rules of the road among the North American operators. With respect to your second question, it's a good question. It really is in terms of what we expect to see is the other MiFi products which are 4G LTE some of those is in the North American operators, the networks are just beginning to ramp. So we now, one of the things that we did was have developed and certified and modified all three operators just to reduce that level of customer concentration in the MiFi product category. What we have not seen at an operator where the LTE network is just ramping or rolling out for there to be an uptick that sufficient to counter the impact at one of our larger customers. But we are hopeful at as that network grows out they will be more promotional and focused on the mobile broadband product category. In terms of the product diversification we have the MiFi product to offer carriers to mitigate against this and we also just launched a new product, MiFi Home as another element of an adjacent market to the MiFi product category again to mitigate against that. And but as I said the MiFi Home is very unique product that has new use cases around it. So we don’t expect that -- we expect that to ramp incrementally but also in a more stable fashion than something like a pure MiFi product or USB device. As the use cases become more adopted and as the product goes through pricing variations if you will because it addresses the converged data and voice we would expect that to become a bigger, to contribute margins in a more significant way to the mitigation of something like this.
Bryan Prohm – Cowen & Company: So in the case of the home product is that something that could be copycatted by a competitor, a lower cost competitor within a year's time and present a similar problem? I mean obviously that’s a year down the road someone asked me to talk. Or is there something unique about home that’s going to be...
Peter V. Leparulo: Well here is the future element I believe and the vision behind the MiFi home product category. It begins really as allowing the operator as to generate ARPU from the conversions of voice and data. So on the voice side the carrier can now offer an alternative to legacy fixed-line voice service and plug that phone into this and have it become a cellular call. On the data side it expands not just into Wi-Fi access in the home but into additional devices as well like copiers and Ethernet, goes through an Ethernet port. The future however is where the barriers come up and I would frame that in two ways. It is upgradable ultimately to voice-over-LTE which is a essentially IT means of transporting voice at a very low cost to the operators. So there is a big benefit to the operator when the network is upgradable to LTE. It’s also extensible into home automation. So that’s our vision for this product category will ultimately go to. In the home automation arena what it really will be is the intersection point between data that comes from sensors around the home in a local environment probably through Z-wave for home automation applications and it will finish the hub between that data and then the service platform at the end of the M2M solution. So as this intersection what MiFi home will do, our goal for this product category is to take that data as a fix device form those sensors and manage that data, process that data and that information with policy management around it and then transport that data to the service platform either by cable operator or wireless operator and according to those rules, the rules that are built into the [policies]. So as an example if you have a panic button in the home just by way of example you would click that panic button the device would know to initiate a 911 call to, or calls the neighbor according to a pre-programmed policy on that. So our view for this is it becomes the hub for home automation between the centers in the home and the data from them and a service platform for the actual home automation services. 
Bryan Prohm – Cowen & Company: Okay so it sounds like it’s much more complex and much less tough cannibal for [inaudible]. So the next question on the M2M businesses is weaker sequentially how should we look at M2M ramping in ’14. You know we are going to see meaningful work year-over-year I mean, is 2014 the year that M2M really takes off not just for you guys but more broadly?
Peter V. Leparulo : Yeah as I mentioned we did have an implementation issue with a significant customer in M2M in the quarters that we believe is largely resolved. You know I tried to give some guide post on that to frame the opportunities that we are seeing with the carrier through our map but we believe what we put in place based on customer forecast and based on where we are in our integration effort and based on the designing customer acquisitions that we have, that we will exceed the underlying growth of the market for Novatel. We believe we wanted disproportionate share of the deals the opportunities that we see out there right now. Overall for M2M we’re in what we believe is a pretty high value part of M2M. We’re not exceedingly focused on the sort of enabling M2M with embedded modules. We are much more focused on getting closer to where we believe the value is at the end user in M2M. So for us those are the benchmarks in terms of not giving guidance but what we believe that we put in place as a platform for growth.
Bryan Prohm – Cowen & Company: Okay I have taken up given time so I will pass the question onto the next guy in the queue. Thanks guys .
Peter V. Leparulo : Thank you.
Operator: (Operator Instructions) Our next question is from Cobb Sadler of Catamount Advisors. Please go ahead.
Cobb Sadler - Catamount Advisors: Hi guys. Thanks for taking the question. I had a more broader question on the hotspot business. You are kind of niche player, you are up against like the Pentex of the world, LG, Huawei, ZTE very-very large players. So why you should your M2W or your mobile computing business be standalone? How can you survive? This seems kind of like Harvard Business School case you know you have been a niche player in sea full of whales. Could you talk about that? And then also in the valuation the investors are worried about that business. One of your competitors just sold their competing business for 0.6 EV to sales and it looks like in the aftermarket you are probably getting about zero for our. So how do you expect the close THAT valuation gap and should you even be in the business and should you be hiring bankers to sell the business? Thanks a lot.
Peter V. Leparulo : Sure, Cobb. I believe what you will see in North America is we -- I don't have this as a science but we have probably been a dominant player in the mobile hotspot business for some time now with leading market share. The reason for that I think is several falls and we have seen companies like VTE, Samsung and others come and we have seen several of them go. We have a portfolio around the operators, we have a history with the operators, we have a history of reliability with the operators, we have a history of getting through certification processes in a very efficient way with them. So I would take issue with the fact that is a, that we’re a niche player in the mobile hotspot station North America. In terms of the valuation gap I see what you are seeing but we believe that the market is still growing in this, we believe that there are adjacent opportunities in this, in mobile computing and in terms of 4G gateway and home automation and as they are derivative of the same channels so we look at different alternatives on this but we still are focusing what we believe is a growing market.
Cobb Sadler - Catamount Advisors: If I am in your shoes I am probably disappointed and frustrated just because I mean look the proxy developed our value by the carriers but the same time the valuation you get for the mobile computing business is minimal and so it’s just I mean how can, why would you not, why would you not hire a banker to explore all alternatives for that business, given that you have been at this for a while, you have been losing money I think it's like the 15th straight quarter you have lost money. So what's going to change and I guess you just guided to a very weak quarter for that business in a time when really it should, if it's going to grow it should be growing now because you have got a new vantage spread, you have got the Verizon home business. Is just, is this business ever going to grow and look I mean you are getting for it, why not explore all alternative, if you are looking out for shareholder value why have you not done that today?
Peter V. Leparulo: I take your point Cobb.
Cobb Sadler - Catamount Advisors: Okay, thanks very much. Thanks guys. Look and congrats on success with the project develop. They are obviously appreciated by the carriers. Thanks a lot.
Peter V. Leparulo: Thank you.